Operator: Good day, and welcome, everyone, to the Garmin Third Quarter 2012 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions) And as a reminder this conference is being recorded. I would now like to turn the call over to your host, Kerri Thurston. Please go ahead.
Kerri Thurston: Thank you, and good morning, everyone. We would like to welcome you to Garmin Limited’s Third quarter 2012 earnings call. Before we begin, we would like to send our warmest thoughts to all those on the East Coast that have been and will continue to be affected by Sandy. The Garmin family has made contributions to several organizations which are seeking with relief efforts throughout the region. Looking now at the quarter please note that a copy of the press release concerning this earning’s call is available at Garmin’s Investor Relations site on the internet at garmin.com/stock. Additionally, this call is being broadcast live on the Internet. Note that this webcast does include slides, which can be viewed during the call via our website and an archive of the webcast will be available until December 31st. A transcript will be available on the website under the Events calendar tab. This earnings call includes projections and other forward-looking statements regarding Garmin Limited. Any statements regarding our future financial position, revenues, earnings, market shares, product introductions, future demand for our products and objectives are forward-looking statements. The forward-looking events and circumstances discussed in this earning’s call may not occur, and actual results could differ materially as a result of risk factors affecting Garmin. Information concerning these risk factors is contained in our Form 10-K for the year ended December 31, 2011, filed with the SEC. Attending today's call on behalf of Garmin Limited, are Dr. Min Kao, Chairman and Chief Executive Officer; Cliff Pemble, President and Chief Operating Officer and Kevin Rauckman, Chief Financial Officer and Treasurer. The presenters for this morning’s call are Cliff and Kevin. At this time, I’ll like to turn the call over to Cliff.
Cliff Pemble: Thank you, Kerri, and good morning, everyone. As we announced earlier this morning, Garmin delivered revenue growth and strong margin performance, resulting in proforma EPS growth in the third quarter. Consolidated revenues increased 1% year-over-year to $672 million driven by gains in the Outdoor and Aviation segments. Our traditional markets of Aviation, Marine, Outdoor and Fitness contributed 43% of the total revenue mix and 59% of the total operating income for the quarter. Gross margins improved to 53% in the quarter. Operating margins also improved to 24% from 22% in the prior year as operating expenses were essentially flat. Revenue growth combined with improved margins resulted in both operating income and proforma EPS growth. Operating income for the quarter grew 9% to $160 million while proforma EPS was $0.74, a 4% improvement over the prior year. We sold approximately 3.7 million units in the quarter, which is up 7% year-over-year as Auto OEMs and Outdoor volumes increased. In light of our third quarter results, we are increasing our full year proforma EPS guidance. We now expect our EPS to fall in the range $2.75 on the low end to $2.90 on the high end. Kevin will provide additional insights later. Next, I’ll walk you through the financial and strategic highlights for each segment. In the Marine segment, revenue declined 7% driven by weak conditions outside of the Americas particularly in the European market. In contrast, we experienced modest growth in the Americas. Favorable product mix led to higher gross margin and gross profit, which more than offset the impact of lower sales. Our high end boat market continues to struggle due to weak economic conditions around the world. We anticipate these conditions will persist in to 2013, dampening the near-term growth prospects in the Marine market. However, we are not allowing the poor conditions to distract us from our growth strategy in the segment. In the third quarter, we announced the acquisition of Nexus Marine, giving us an immediate presence in the sailing instrumentation market, where Nexus is a highly respected brand. Additionally, we continue to invest in new product development in order to gain share and to better position ourselves for growth when economic conditions improve. In Aviation, we posted revenue growth of 3% as improved OEM deliveries offset weakness in retrofit and portable products. As we have highlighted in prior quarters, operating margin is trending below historical norms as we invest in aircraft certification programs that will reach the market in 2013 and beyond. We currently have six announced cockpits slated for delivery in the coming year which will generate new revenue and growth for the future. Note that this morning’s past release mentions five programs that will be completed in 2013. With the recent announcements factored in, the number is now six. During the quarter, we announced two additional cockpit wins that highlight the progress we are making to expand our presence in the OEM market. Just this week, Cessna announced that our G5000 integrated flight deck has been chosen for the upgraded Citation Sovereign. And early in the quarter, we announced a new relationship with AgustaWestland, who selected a G1000H for updated 119 model helicopter. Both the Sovereign and the 119 are scheduled for certification in 2013. I also want to mention that Garmin was ranked number one in product support by Aviation International News for the ninth consecutive year. This is an incredible accomplishment and highlights that outstanding product support is one of our strongest differentiators as we compete against incumbents in the segment. I want to congratulate our Aviation product support team, the recognition by Aviation International News is certainly well deserved. The Outdoor segment continues to deliver strong results in the quarter with 11% revenue growth and 17% operating income growth. The improved results can be attributed to our golf lineup, our dog tracking and training portfolio and our recently introduced fēnix which is a GPS enabled watch for hunters, hikers and outdoor enthusiasts who generally like to place their own trails. In the third quarter, we delivered our Alpha tracking and training system which combines robust GPS tracking and mapping capability from Garmin with proven electronic training from our TriTronics division. Initial reviews and field tests have been positive and we anticipate the product will be well throughout this hunting season. Looking next to the Fitness segment, revenue declined 6% though we were able to generate gross margin and operating income growth on a year-over-year basis. As we have mentioned in the past, revenue and margin performance are linked to variability and our product cycle. In both the second and third quarter of 2011, we experienced strong demand for the newly released Forerunner 610 while discounts on the end of life Forerunner 305 drove additional volumes at the low end of the market, but negatively impacted margins. This year we saw continued growth in our cycling and multi-sport product lines. However, it was not enough to offset the year-over-year decline in running product. During the quarter, we launched our latest running watch the Forerunner 10. The Forerunner 10 is a value priced watch at a $129 and is an affordable and intuitive solution for runners, joggers and walkers of all levels. Early response to the product has been positive with great reviews and strong initial orders. We are confident that the Forerunner 10 will have disclosed the gap led by the Forerunner 305 at the low end of the market. In our Automobile segment revenue was flat; however strong margin performance and lower expenses in this segment resulted in a 16% increase in operating profit. Market share also improved in the third quarter when compared to 2011. We estimate our share in North America exceed 70%. Our European market share is in the low to mid 30% range. Our outlook in the PND markets remains unchanged with units and value declining approximately 10% to 15% for the year. While the Garmin market has continued to decline, share gains have a lot of significantly outperformed the market. During the quarter, we introduced a new member of our diesel product family with a large seven inch display designed specifically for trucks and RVs, where specialized needs drive higher ASPs and stronger margins. We also updated our StreetPilot and Navigon mobile applications with public transit features providing mobile phone users with a complete solution for both automotive and production and navigation. These additional features serve to further differentiate our applications and drive consumer adoption. Before turning the call over to Kevin, I want to provide a brief update on the auto OEM market. We launched the next generation navigation solution with Chrysler incorporating advanced features such as 3D mapping, trip planning and multi reviews. These enhancements will be available on select 2013 Chrysler and Dodge models. Also on the third quarter, we shipped our first fully integrated infotainment solution to Suzuki with a 2013 FX4 Grand Vitara and Kizashi models. We are excited to see these models reach Suzuki dealers in markets around the world, including North America, Europe, Australia, New Zealand and Russia. Now Kevin will walk us through the financial results.
Kevin Rauckman: Thank you Cliff. Good morning everyone. I would like to begin by reviewing our income statement. As I move to the balance sheet and cash flow statement finally concluding with the comments regarding our full year 2012 expectations. As Cliff mentioned, we posted revenue of $672 million for the quarter, with pro forma net income of $146 million. Our pro forma EPS was $0.74 per share, which excluded the foreign currency loss. Our revenue represents an increase of 1% year-over-year. Gross margin came in at 53%, which was a 180 basis points improvement from prior year. Now I will discuss margin results in further detail by segment. Operating margin was 24%, up 170 basis points from the prior year. The components of this were the gross margin capability of 180 basis points offset by an unfavorable operating expenses impact of 10 basis points. Total operating expenses increased by only $2 million in the current quarter, with a $10 million increase in R&D offset by improvements in advertising and SG&A. Each of these expense categories will be discussed further on a later slide. Our pro forma EPS of $0.74 represents a 4% increase year-over-year, driven by the increasing revenues and improved gross and operating margins. Units shipped increased 7% year-over-year as 3.7 units were delivered during the quarter. According to US GAAP, we must defer revenue on certain products, and this table summarizes the net impact of the deferral and amortization of revenue and related costs in third quarter 2012 and 2011. In the current quarter, we deferred on a net basis approximately $20 million of revenues, resulting in a $0.07 of tax affected deferred EPS during the quarter. In the third quarter of 2011, we deferred net revenue of $24 million or $0.08 of tax affected EPS. While we are deferring revenue according to US GAAP, we are collecting the cash at time of sale as reflected in the statement of cash flows. We expect to have a negative revenue and EPS impact due to deferrals in the fourth quarter, but do not expect the impact to be as significant as the amounts that we deferred during the same period in 2011. In total our revenues increased 1% during the third quarter with Outdoor and Aviation contributing most of the growth. During Q3 the auto/mobile segment revenues were flat as volume growth was offset by a slight decline in average selling price. Volume growth was driven by market share gains and strengthening results with our auto OEM partners. Our Outdoor segment posted the strongest revenue growth at 11%, due primarily to our GPS enabled golf products, growth in our dog tracking and training portfolio and strong consumer reception for our Phoenix product. Business segment posted a 6% revenue decrease when compared to Q3 2011. This slowdown resulted from a strong Q3, 2011, when we were heavily promoting the Forerunner 305 as the product reach the end of it's lifecycle and [after] fulfilling orders for the Forerunner 610. We hope to see improving results in Q4, driven primarily and partially by the launch of the Forerunner 10. Aviation segment revenues increased to 3% compared to Q3 2011, with growth in OEM partially offset by a slowdown in retrofit and portable products. Our marine segment revenues decreased 7% compared to Q3, 2011 as both the aftermarket and OEM markets slowed down due to a global decline in the marine electronics market. During Q3, both the Americas and APAC both posted revenue growth with a partial offset due to the decline in EMEA. The decline in EMEA is the result of difficult macroeconomic conditions in most of the regions. For Q3 2012, the Americas represented 57% of revenue compared to 53% in Q3, 2011. The EMEA decreased from 39% of total revenue in Q3 to 33% in Q3 2012, while APAC increased from 8% to 10% in the same period. The auto/mobile segment represented 57% of our total revenue during Q3 2012, down slightly from 58%. Outdoor grew to 16% of revenues in the quarter, an increase of 14% in 2011. Due to the improved profitability of auto/mobile in the third quarter of 2012, the operating income contribution of this segment increased to 41% from 38% of the prior year. In absolute dollars, our traditional segments of aviation, marine, outdoor and fitness contributed 95 million of operating income in the quarter 4% increase over the third quarter of 2011, even as we invest heavily in future OEM opportunities in marine and aviations. Looking next at margins, Q3 auto/mobile gross margin and operating margin were 43% and 17% respectively. Gross margins were stable as deferred revenues became less at a year-over-year impact in the quarter. Operating margin improvement resulted from decreasing advertising and SG&A expenses in the segment. Q3 outdoor gross margin was 69%, up from 66% in Q3 2011. Operating margin was 46% an improvement from 44% in the year ago quarter, as improved gross margins were partially offset by a slight increase in operating expenses. Q3 fitness gross margin was 65% up from 60% in the year ago quarter when we were heavily discounting the Forerunner 305. Operating margin was 33% again up from 30% at the year ago quarter, as improved gross margins were partially offset by increased advertising and R&D costs. Q3 marine gross margin was 64% compared to 55% at a year ago, as product mix shifted toward higher margin products and we participated in fewer promotional activities. Our operating margin was 19% down 21% a year ago, as the gross margin improvement continued to be offset by increased R&D expenses to support our long-term marine OEM strategy and new product launches scheduled for next year. And finally our Q3 aviations gross margin was 69% up from 66% in Q3, 2011. The operating margin was 23% for the quarter down from 27% in the prior year, as gross margin improvement was offset by increased R&D expense associated with the new OEMs programs that will begin to contribute to revenue in 2013, as well as increased SG&A cost due to a bad debt credit in Q3, 2011. Q3 operating expense have increased by $2 million on year-over-year basis from $197 million and Q3, 2011 to $199 million in Q3, 2012. An increase of only 10 basis points as a percentage of sale. [RV] increased to $10 million year-over-year in Q3 and 130 basis points to 12% of sales as headcount increased and we continue to invest in OEM opportunities. Our advertising spending decreased $5 million over the year ago quarter and decreased 80 basis points as a percent of sales to 4% in Q3 of 2012. This was largely driven by decreasing cooperative advertising. SG&A decreased $2 million compared to the year ago quarter and 40 basis points to 13% of sales. This decrease is primarily attributable to reduced commission expenses. We have now anniversaried our major acquisitions in 2011 and are pleased to see this flattening of SG&A expense. Moving next to the balance sheet, we ended the quarter with cash and marketable securities of over $2.7 billion. Our accounts receivable increased sequentially to $509 million that fell slightly on a year-over-year basis due to continued sale strength in the third quarter. Accounts receivable accounted for approximately 65 days of sales when calculated on trailing four quarters, compared to 74 days of sales in the third quarter of 2011. Our inventory balances increased to $443 million on a sequential basis at the close of Q3 as we prepare for the seasonally strong fourth quarter. Our days of inventory metric was 125 days which was flat to the third quarter of 2011. The dividend payable now reflects two remaining quarterly payments of $0.45 per share which was approved by our shareholders on June 1 at the annual meeting. Our deferred revenue balance has continued to grow, net of deferred costs, it represents approximately $1.43 of deferred EPS. We continue to generate free cash flow across our businesses as cash from operations was $165 million during Q3. CapEx was $9 million during the quarter therefore we generated free cash flow during Q3 of [$135 million]. Cash flow invested during Q3 was $104 million which includes the $9 million of CapEx and $93 million of net purchases as marketable securities. Financing activities were $87 million use of cash during Q3 due primarily to the dividend payment for September and we are at an average of 1.2% on all cash and marketable securities balances during the quarter. With our strong free cash flow generation year-to-date we are making good progress toward our forecast of $650 million which will continue to fund our annualized dividend of $1.80 per share or approximately $350 million use of cash. We also continue to pursue acquisitions in adjacent niche markets and tuck in technologies which fit with our core markets. As has been Garmin’s practices, the acquisitions will be evaluated by technology, values compatibility and strategic fit within Garmin. Our tax rate for Q3, 2012 was 13.7% due to the revenue mix by geography and segment. We expect the full year 2012 rate to be approximately 13%. Finally, given our strong EPS performance in Q3 we are again raising our full year EPS guidance to $2.75 to $2.90. This continues to incorporate some uncertainties regarding the European markets and consumer spending as we head into the holiday season. This ends our formal comments for the quarter. We will now enter a period for you to ask questions.
Operator: (Operator Instructions) Our first question comes from Mark Sue from RBC Capital Markets. Your line is open.
Ameet Prabhu - RBC : This is Ameet Prabhu calling on behalf of Mark Sue. Your P&D market share has been stabilizing in the US and in Europe. In the US, it seems there maybe limited upside growth but maybe could you discuss the share trend in Europe given the market has multiple smaller players and some of them might have to exit the market considering the macro?
Cliff Pemble: Yeah, so as you stated we do have very strong share in the US. It is up over a year ago. We are now in the below 70% range versus last year in the 60% range. You are right that the upside potential there is more limited in Europe, we are currently in the low 30% range in the big five countries and we do see opportunities to gain share from both the third-tier players who continue to show weakness and exit the market as well as from the bigger players as well.
Ameet Prabhu - RBC : This is a follow-up on your cash flow. Free cash flow has been strong and you built up cash this year but could you maybe discuss cash contribution from the various segments because I guess the concern is that as P&D units decline year-over-year and the contribution from your other segment increases, would that have any impact on your ability to generate free cash?
Kevin Rauckman: No, actually we feel like our cash flow has been at or above expected and if you look at just the operating income results, those are really by segment. That’s really what's driving that cash flow. So we still see you point out the automobile. We feel the strong cash flow generation trend from the automobile segment as we do from all the other business segments that we have. So, moving forward, we would expect continued strong cash flow even in through 2013 or maybe short-term or some nominal impact, negative levels just due to the deferred revenues as we discussed as those move from being a headwind against us into positive as we go forward in 2013.
Operator: Our next question comes from Simona Jankowski from Goldman Sachs. Your line is open.
Simona Jankowski - Goldman Sachs: Just first a clarification overall, I think you updated the EPS guidance but I was curious if you might update or comment on the revenue guidance for the year which you had given before and then just some questions on the fitness part of the business. You commented on the gross margins improving partly because of the easy [comps] from a year ago when you had more discounting. It was a bit surprising because I would assume that Forerunner 10 might have lower margins given its lower end product. So maybe you can just comment on how you see the mix shift impacting margins in fitness going forward when you take into account the Forerunner 10 and then may be any another upcoming end of life cycle discounting?
Kevin Rauckman: Okay, Simona thanks for the questions. The first question on revenue, we have really came in very close to our expectations during this quarter in total revenue and so we didn’t believe that there was any reason to update our guidance so we still hold the $2.7 billion to $2.8 billion revenue for the full year of 2012. And looking at the fitness, clearly we did have some short-term impacts last year as you mentioned the Forerunner 10 while, it began shipping in Q3. We are really expecting a much stronger contribution from the Forerunner 10 product in the holiday season in Q4. So it had some impact but relatively small impact from that product. I think I mentioned $2.7 billion on revenue. So it’s actually $2.75 billion to $2.8 billion on the total businesses revenue guidance.
Simona Jankowski - Goldman Sachs: Just to clarify on the Forerunner 10, should we expect that to mix margins down into the fourth quarter then for the fitness segment?
Kevin Rauckman: I think as you naturally a holiday selling, we have not only on the Forerunner 10 but just in general, we have lower price and lower costs on that product, so we will have some impact on margins we would say overall focus fitness in the automobile segments typically have a lower margins in the fourth quarter.
Simona Jankowski - Goldman Sachs: And any update on the Vector timing?
Clifton Pemble: Yes Simona, this is Cliff. We are making progress on Vector. We have been evaluating new design changes and we do feel like things are looking promising and are sticking to our early next year or first quarter or early second quarter deliveries.
Operator: Our next question from Yair Reiner from Oppenheimer. Your line is open.
Yair Reiner - Oppenheimer: TomTom yesterday when they reported results suggested that they are seeing more muted seasonality. Do you see the same going into fourth quarter may be we could just talk about promotional activity for the holiday season?
Cliff Pemble: Yeah, typically, we see a sequential growth from Q3 to Q4 and we are still expecting that but I would say in general there are some macroeconomic uncertainties and primarily even the European condition, European economic conditions which is why we’ve tried to put in some level of conservatives in our fourth quarter. So sequential growth is normal but maybe a little bit below we would typically see.
Yair Reiner - Oppenheimer: Okay, and then you mentioned that auto OEM was strong in the quarter. Can you give us a sense of how much that might have diluted auto margins?
Cliff Pemble: We really don't breakout, we don't breakout the profitability by the sub-segments there. Although, we definitely have auto OEM operating margins which are below our mobile and our P&D margins at this point, so.
Yair Reiner - Oppenheimer: Okay, and then one another one if I could, on fitness it was down year-on-year, do you expect it to go return to year-on-year growth in the fourth quarter?
Cliff Pemble: We expect to turn around it would be a flat to up for the fourth quarter driven by the new product introductions.
Operator: Our next question comes from John Bright from Avondale Partners. Your line is open.
John Bright - Avondale Partners: Follow-up on a couple of questions, Cliff and Kevin, first regarding your guidance, do you have any impact from Hurricane Sandy or do you expect any impact associated with that?
Kevin Rauckman: Well, we don't clearly anticipate a significant impact. And our Q4 guidance takes into account some level of the global macro economic weakness and consumer uncertainties stemming from various sources including the catastrophic effects of Sandy, but at this point we feel like those would be pretty nominal.
John Bright - Avondale Partners: And then the discussion of auto OEM, maybe give us an outlook or thought process today for additional wins and how that progress is going?
Cliff Pemble: We are making progress John as you know this market has a long cycle in terms of product development, but we are working on some additional programs which we are not prepared to announce yet.
John Bright - Avondale Partners: Understanding you are not guiding for ’13, but you made some positive commentary I think in the Aviation segment regarding some wins you had in place maybe you could, or how should investors think about the financial impact to Aviation in calendar ’13?
Kevin Rauckman: I think as Cliff mentioned the six certifications and that the expansion that we are seeing, we are expecting this year to be 0% to 5% even though there has been some difficult environment, difficult industry. So we would expect that that would increase next year and again we are not deploying where we can give exact guidance, but we are optimistic about the Aviation business and the most recent wins that we've announced.
John Bright - Avondale Partners: And on the health of the channel inventory specifically in the Outdoor, Fitness segment and then maybe overall?
Kevin Rauckman: We don't really see any significant impacts on channel; the product have been moving as expected through the channel, so no expectations on any kind of sell in versus sell out discrepancies for outdoor or for automobile.
John Bright - Avondale Partners: Final question on Marine. On your OEM efforts there, how large of an opportunity is the OEM business in the Marine segment, one? And then what if any are the holes that you have in your new product offering?
Cliff Pemble: Yeah, John we, don't break out, obviously Auto OEM versus aftermarket and the same is true in Marine. I would say though that we've been under penetrated in OEM for many years and so we see it as a growth opportunity. Keep in mind though that both building is at some of the lowest levels that's been in many decades, so its not the same opportunity that it was four or five years ago.
John Bright - Avondale Partners: And regarding the holes in the product offering today?
Cliff Pemble: I think we have most of those covered at this point. We are investing heavily in R&D to fill some of those holes as well as refresh our product line which is some of the comments we made behind the margin compression there.
Operator: Our next question comes from Charlie Anderson of Dougherty & Company. Your line is open.
Charlie Anderson - Dougherty & Company: So I wanted to start with auto gross margins, sort of net of deferrals that have been very strong this year compared to last year and I imagine price stability have something to do with it. But I also wonder if you are seeing an up tick and maybe some of the App sales with Apple issues on their product and maybe some of those OEM gross margins are stronger?
Cliff Pemble: Yeah, Charlie I think some of that is due to product mix in the PND segment which is driving the overall gross margin picture. So that's probably the biggest factor. In terms of the Apple situation, I think our App sales are pretty much steady, some up tick that the result is really not significant. We feel the consumers that are looking for premium navigation are not impacted or influenced by the availability of free solutions that are on the platforms.
Charlie Anderson - Dougherty & Company: And in terms of the guidance and what implies for Q4. I think I am showing at the mid-point a high-single digit to revenue decline. When you say fitness is going to be flat I think that implies everything else pretty much down. I wondered if you could correct me on that if anything else is going to be up, and in terms of what is going to be down kind of degrees by segment, that will be helpful. Thanks.
Kevin Rauckman: Yeah, I think in general, your numbers are pretty accurate. Maybe the aviation gets a slight growth in the quarter, but in general flat up on fitness. Outdoor, probably has a slight growth as well, but given the expectations on PND we're being conservative there. We believe just due to some of the conditions, especially as I mentioned in Europe.
Charlie Anderson - Dougherty & Company: In terms of fitness, you mentioned in the press release, there are growth opportunities. You know, we're seeing a decline here. It's going to be up a little bit in Q4. I wonder if you can highlight what some of those growth opportunities are for us?
Cliff Pemble: Charlie, I think as we mentioned, the low end of the market has been left uncovered by us since the exit of the 305. So we feel like that is an opportunity for us to expand our sales again in that segment of the market. And then as we get closer to the vector release, we do believe that’s an opportunity for growth as we're currently not represented in the power market.
Operator: Our next question comes from Scott Sutherland from Wedbush Securities. Your line is open.
Scott Sutherland - Wedbush Securities: Just sticking on that fitness segment, you talked about the multi-sport and the cycling product, which are usually higher end products, is most that revenue decline attributed to the low-end product and do you think you can gain back share from some of the smartphone or Nike solutions by introducing this new watch.
Kevin Rauckman: Yeah, Scott, definitely those products and bikes and multi-sport are definitely higher end. We still have a very strong presence in what we call the running market which is the Forerunner 610 and that’s where the Forerunner 305 and now the Forerunner 10 moved. We feel that our share has been pretty much stable, some erosion due to the low end solution but we have done pretty well with the market that’s been asking us is there something to replace those revenues on the low end.
Scott Sutherland - Wedbush Securities: When you look at the marine segment I know I think you have a product cycle of over two years what’s the timing of next product cycle there?
Kevin Rauckman: Well we are pretty much there now in terms of refreshing our product cycle. The cycle in marine is probably a little longer than two years it tends to be two to three years, but we have been investing heavily and we will be refreshing our line in the coming year.
Scott Sutherland - Wedbush Securities: And lastly on that revenue question for Q4, looks like you are guiding your EPS significantly lower. You have outperformed the first three quarters of this year versus last year in each of these quarters, now you are getting down the EPS. Is there spending or some margin inputs that we should take into account for this guidance?
Cliff Pemble: If you look historically at what happens between Q3 and Q4 sequentially, we typically see a pretty significant drop in gross margin, so we are expecting the gross margins in the business to be below 50%. Secondly we are in a period because of the holiday season while we see a significant increase in advertising, so we will have some sequential growth and both media spend and cooperative advertising due to the higher volumes. So those are the two major impacts on driving our EPS assumptions in Q4.
Scott Sutherland - Wedbush Securities: I guess putting it in a different way you typically see sequential increase from Q3 to Q4 and looks like you are guiding flattish to downish from Q3 to Q4. Is there something else on a sequential basis that which we take into account?
Cliff Pemble: No, nothing else sort of that, just looking at the top line and our expectations across the various segments that I just laid out in our earlier questions.
Operator: Our next question comes from Andrew Spinola from Wells Fargo. Your line is open.
Andrew Spinola - Wells Fargo: Just I am looking at your Q3 auto revenue, it just knowing what we know about the PND market it seems like you had some pretty strength in the OEM business. Is there any color you can give whether it’s something as simple as sequential growth, so we have an idea of how that impact to Q3 and also just if there was any one-time may be unusually higher than normal OEM revenue because of the Suzuki shipments, any color that will be great?
Cliff Pemble: Yeah, Andrew definitely our OEM is growing because of our Chrysler relationship as well as now in Suzuki. As we mentioned before, we don't breakout OEM versus PND so we are not prepared to give much color beyond that. In the PND market though on one condition that we faced last year is that the channel was a very lean and so this year the channel have been recovering and we believe we outperformed other markets to some extend because the channel is getting back to more normal levels. And then the second factor associated with our better performance in PND is that we are taking market share.
Andrew Spinola - Wells Fargo: Got it. Is there anything one-time in nature to Q3 because of the initial shipments to Suzuki or is that sustainable level going forward?
Cliff Pemble: I think as the sustainable level going forward.
Andrew Spinola - Wells Fargo: Great. And then just one other question. Just on the insider sales recently, I would assume it opens up potentially a window for share repurchases. And I don't know if one-for-one or anything like that but is there any opportunity possible to move forward with share repurchases?
Kevin Rauckman: Well, at this point, we have no approved buyback program, it’s something that we could consider in terms of the use of cash but at this point we don't have anything to announce. It definitely gives a little bit more flexibility but we don't have anything that we can really discuss at this point.
Operator: Our next question comes from James Faucette of Pacific Crest Securities. Your line is open.
James Faucette - Pacific Crest Securities: Just a couple of questions for me. First, can you talk a little bit about the retailer strategy for the holiday season around your core consumer products like PND, fitness and outdoor where you are seeing retailers being I guess maybe more aggressive or how retailers are bearing from what your plan was coming into the year. And then you mentioned in the last answer a little bit about PND inventories in particular coming back up to maybe more normal levels or at least that's what I understood you just said. You talked about how you are thinking about the ongoing decline in sell through rates and what you are thinking about going into next year? Thank you.
Cliff Pemble: Yeah, James in terms of the retailer commitment and activities going into Q4, it’s largely what we have seen in last year. There's going to be major promotions at all of the major retailers including Floor Displays and Black Friday advertisements and the Garmin is also doing a TV campaign as well. So we are really don't feel a lot of change in that respect, some of our other product lines are getting more attention during this holiday season. So there will be a lot of activity around golf and sports as well. So we believe that those will be also popular products in the fourth quarter. In terms of the ongoing PND decline, we would at this point expect to see the market continue to be in a secular decline position for 2013. We haven't forecasted that as of yet but right now rates are running in the range of 15% to 20% depending on the market and we would see that continuing into 2013.
Operator: (Operator Instructions) Our next question comes from Yair Reiner of Oppenheimer.
Yair Reiner - Oppenheimer: Just a quick follow-up on advertising, it was down year-on-year in 3Q both in absolute terms and as percentage of revenue. For the fourth quarter, can you give us a sense of what its going to look like on a year-on-year basis?
Kevin Rauckman: Yeah, it was down primarily due to cooperative advertising. We did have a little bit of a decline in media spend as well and as we said in our formal remarks that put us down closer to 4% of sales. Typically, we would see that up between 5% and 6% of sales during the fourth quarter. So that's what we would expect in Q4.
Yair Reiner - Oppenheimer: And are you going to have any major TV buyers?
Kevin Rauckman: As Cliff just mentioned we do have plans to do a TV ad campaign during the holiday season.
Operator: I'm showing no further questions at this time. I will now turn the call back over to management for closing remarks.
Cliff Pemble: Okay, thanks Stephanie, and thank you everyone for contributing and for listening in. We look forward to finishing the year strong and updating you at the next quarterly conference call. So have a great day.
Operator: Thank you ladies and gentlemen that does conclude today's conference. You may all disconnect and have a wonderful day.